Operator: Good evening, and welcome to the IDT Corporation's First Quarter Fiscal Year’s 2025 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-month periods ended October 31, 2024. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions] After Mr. Jonas' remarks, Marcelo Fischer, IDT's Chief Financial Officer, will join Mr. Jonas for Q&A with investors. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share. A schedule provided in IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website. The earnings release has also been filed on Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you, operator. I apologize for my voice. Welcome to IDT's earnings conference call. My remarks today focused on the first quarter of our fiscal year 2025, the 3 and 12 months ended October 31. For a more detailed discussion of our financial and operational results for the quarter, please read our earnings release filed earlier today and our Form 10-K that we expect to file with the SEC next Tuesday. Building on our momentum from fiscal 2024, IDT delivered strong financial results in the first quarter of fiscal 2025 including record levels of gross profit, gross profit margin and adjusted EBITDA. Consolidated revenue has now increased sequentially for three consecutive quarters. NRS along with our Fintech segment powered by BOSS Money and net2phone each achieved robust increases in revenue, gross profit and adjusted EBITDA. At NRS we're focused on providing solutions to address the needs of our independent retailer market while heavily investing to develop new products and services to broaden our addressable markets. In Q1, we continue to achieve increased adoption rates on our payment processing offerings and SaaS feature plans. We look forward to continuing this momentum through the remainder of the fiscal year. BOSS Money's Q1 results reflected our decision to enhance margins particularly within our retail channel. As a result, BOSS Money's gross margin expanded significantly and transaction growth slowed somewhat. The enhanced margins boosted Fintech's Q1 income from operations by $4.6 million year-over-year and in November following the quarter's close transaction growth rebounded led by D2C. Net2phone increased seats served over 400,000 driving a 13% increase in subscription revenue despite the negative FX impact to its Latin American operations from a strong U.S. dollar. Net2phone's financial discipline also contributed to healthy increases in income from operations and adjusted EBITDA. In the traditional communication segment, our operating activities improved our economics and that continued to pay off in Q1. The year-over-year revenue decrease was 4% while income from operations increased by 2%. In light of the strong financial performance across our key businesses this quarter, we are now on track to significantly beat the EBITDA projections that we previously had. I'll wrap by wishing the entire IDT team including all of our colleagues across the globe, retail partners and investors a very joyous holiday season shared with family and friends. We very much appreciate your support and hard work and look forward to sharing more good IDT news with you in 2025. Now Marcelo and I will be happy to take your questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from Inigo Alonso [Ph]. Please announce your affiliation then pose your question.
Inigo Alonso: Hello. Thank you for the great results again. I have questions on the three growing businesses. I'll start with a double question on net2phone and BOSS Money. BOSS Money has had extraordinary growth in the last couple of years and a lot of that growth has been driven by the mass immigration into the U.S. during the last presidential term. So how confident do you feel on your ability to keep growing at those rates and stealing market share from your competitors if the immigration policies into the U.S. tightened? And then the sec and the second question about net2phoen is we have over 50% of the revenues coming from Latin America, and with the strengthening of the USD, we are seeing the forex impact. Last week we had a huge event in the Brazilian Real with devaluation on that currency where you're really strong. I was wondering on your confidence level to achieve double digit revenue growth this year. Thank you.
Shmuel Jonas: Okay. So I'll try to answer your question on immigration first. It's really in my opinion too early to tell what will really be the end result of the new administration's policies. My personal opinion is that you can't build things in America and make America stronger without immigration into this country. So if you're going to have tariffs, you need immigrants to work hard and help build America like they always have. That's my personal opinion. But as for what really happens, I don't know. One thing I would say is that we continue to focus on improving the product every day and that is my opinion what really drives the results not how many people cross the border on a daily basis, but that's my own opinion.
Marcelo Fischer: Yes, I'll answer the question to you on net2phone. So you're absolutely right. The exchange rates are not helping net2phone right now. As you know, a significant portion of the business comes from Latin American countries, Brazil and Mexico in particular. When you look about year-over-year, Q1 versus Q1, the Brazilian Real is down about 14%, the Mexican Peso is down about 11%. So those clearly impact the business when you cancel it into U.S. dollars. Our subscription revenue growth was 13% for Q1. If not for this FX impact, it would have been 16%. So we are looking at it carefully. We keep on monitoring that. And also, some of the cost inputs in operating the business in Latin America are really U.S. pegged, if not U.S. denominated necessarily. So that has also a slight impact on the economics, on the profitability, not just on the translation side. And net2phone team and ourselves are really focusing very much on how we could offset some of those cost implications as well as the growth rates going forward. Now because it does sound like the U.S. dollar will continue to be strong for the foreseeable future. That being said, those markets in local currencies are really doing very well and continue to grow at a really nice pace and we feel very positive about their long-term success and growth.
Shmuel Jonas: Yes, and I'll just say to add on to what Marcelo already said is that, it also lets us put more investment into the U.S. market where we already have by far the best profitability. So if anything it gets us to focus our energies in the places where we get the most payoff from it. So not completely bad story in my opinion.
Inigo Alonso: Okay. Can I ask about NRS, so NRS this quarter there was seasonal churn? I would appreciate if you can provide a little bit of color on that seasonality of the terminal deployments. And I also noted that the terminal sales were lower. And I wonder if this is due to the kiosk run out that you mentioned last quarter or there's different impacts here?
Shmuel Jonas: We have a large seasonal customer in the fireworks business that comes and goes. They were larger this year than they have been previously, which is both good and bad. So that's really the seasonal impact as far as your questions related to the kiosk, it definitely did have an effect and we also had a lot of new product launches in terms of our software plans and that also really, I think unfortunately I'll say shifted some of the sales people's attention to educating customers on those new plans and away from pushing out more units but we're back on track.
Inigo Alonso: And one final question on NRS, in the last few quarters you have mentioned how you are offering new forms of advertisement beyond the initial customer facing checkout screens. I was wondering what categories or real estate of businesses you are targeting for these new screens. Are these screens located in outdoors high traffic areas or are they inside businesses? How many of these screens did you place in Q1 for example?
Shmuel Jonas: I don't have the numbers offhand how many we placed in Q1. I do know that we ordered over 3,000 new screens. I don't believe that they've all arrived yet. And we've mostly placed them into hotels and entertainment attractions and all of them are pretty highly trafficked.
Inigo Alonso: Okay. Thank you
Operator: [Operator Instructions].
Operator: [Operator Closing Remarks].